Jeremy Johnson: My name is Jeremy Johnson, Head of FP&A and Investor Relations at Ceridian. I'd like to welcome everyone to the Ceridian First Quarter 2021 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded. On the call today, we have Ceridian's CEO, David Ossip; and CFO, Noemie Heuland. Before I hand the call to David for some brief remarks, allow me to provide a disclaimer regarding forward-looking statements. This call may include forward-looking statements about our current and future outlook, guidance, plans, expectations and intentions, results, levels of activities, performance, goals or achievements or any other future events or developments. These statements are based on management's reasonable assumptions and beliefs in light of information currently available to us. Listeners are cautioned not to place undue reliance on such statements. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those set forth in such statements. We refer you to our previous filings with the SEC for information regarding the significant assumptions underlying forward-looking statements and certain risks and other factors that could affect our future performance and ability to deliver on these statements. We undertake no obligation to update or to revise any forward-looking statements made on this call, except as may be required by law. The first quarter stockholder letter, earnings release and Form 10-Q have been furnished or filed with the SEC and will be available on the SEC's EDGAR database in the U.S. and the SEDAR database in Canada as well as on the Ceridian Investor Relations website at investors.ceridian.com. With that, I will turn the call over to David.
David Ossip: Thanks, Jeremy. Good evening, everyone, and thank you for joining our call. I hope everyone is staying safe and healthy. Before we go to Q&A, I want to spend a few minutes on the key points from the quarter. First, we had strong financial performance in the first quarter. That was meaningful guidance across all metrics. Dayforce recurring revenue, excluding float revenue, grew by 21%. First quarter sales were significantly above 2019 and 2020, and we expect sales momentum to continue reflecting a strong sales pipeline and pent-up demand. Second, we are excited to say that we expect total revenue in 2021 to exceed $1 billion, a significant milestone for Ceridian. Looking forward to the rest of the year, in the second quarter of 2021, we expect Dayforce recurring revenue ex float to grow 28% to 29% year-over-year. And for the second half of 2021, we expect Dayforce recurring revenue, excluding float revenue, to grow above 29% compared to the second half of 2020. Finally, Dayforce Wallet continues to go very well, and we remain confident in the Wallet strategy. We continue to see traction in registration, and we are seeing registration rates now of over 20%. We have more than 150 customers using the Wallet, and over 450 have signed up in total. Attach rates on new sales have continued to be approximately 80%. In April, we launched Dayforce Wallet in Canada and already have more than 40 customers signed up. Throughout 2021, we'll continue to introduce new features into Dayforce Wallet to increase employee adoption and to drive Dayforce sale. In summary, we believe we are extremely well positioned to capture market share, extend our market leadership and drive long-term profitable growth. I would like to now hand it back to Jeremy to open up the call for questions.
A - Jeremy Johnson: Thanks, David. [Operator Instructions]. The first question comes from the line of Jared Levine in for Bryan Bergin of Cowen.
Jared Levine: So in terms of Dayforce bookings, did signings accelerate over 1Q? And then if you exclude those handful of large deals that slipped into early January, would those 1Q signings still have been higher than the 2019 and 2020 levels?
David Ossip: So Jared, the answer is yes, we had a very good first quarter. Even if we adjust for the deals that slipped out of Q4, the sales numbers would have been higher than both 2020 and 2019.
Jared Levine: Okay. Great. And then has there been any employment recovery thus far in 2Q? And then how is kind of Canada's employment recovery compared to the U.S. thus far in fiscal year '21 or even period into the beginning of the pandemic?
David Ossip: Yes. So when we gave guidance at the end of Q4, we expected an employee headcount on the Dayforce side to be $67 million. We saw a headwind of $6 million inside the quarter. We expect that to remain the same for Q2, and then we expect to effectively see a $1 million to $2 million improvement in Q3 and Q4. On the Powerpay side, Jeremy and Noemie, correct me if I'm wrong, but I believe that we had expected a headwind of about $3 million, when in reality, we only saw a headwind of $1.5 million. So on the Powerpay side, which is in Canada, we did see better employment numbers than we had expected.
Jeremy Johnson: The next question comes from the line of Siti Panigrahi of Mizuho.
Sitikantha Panigrahi: Looking at your $1 billion-plus revenue for 2021, that's pretty impressive. Even if I exclude Ascender assuming $6.7 million kind of month -- per month run rate, that's almost like $90 million, $95 million above what consensus are expecting. So where do you see mostly in terms of upside? Is it -- are you seeing more on the enterprise segment? Or what's driving your confidence and -- to drive such a kind of top line growth?
David Ossip: Well, Siti, we have very good visibility, as you know, several quarters out. So when we look at our projections for 2021 and the $1 billion number, we look at the backlog that we have already in implementation. We have a high degree of confidence in our implementation team. We know that when a project kicks off, they will go live on time and budget. And that allows us to model out the revenue line. So we have a high degree in confidence. And again, in Q2, we expect Dayforce recurring ex float to grow 28% to 29%, which is up quite a bit from what we had given previously. And for the remainder of the year, in the second half, we expect Dayforce's recurring ex float to grow above 29%. And again, that is based largely on the sales that we already have made and the projects that are under implementation.
Sitikantha Panigrahi: That's great color. And then a follow-up on the Wallet side. It's almost -- it's been a year since you launched last year, and 450 customers signed up and 150 already using, that's pretty impressive. Could you give us some kind of color, like what kind of usage pattern you are seeing among the customer, those who are using, whether the number of employee or kind of volume of payments that are going through? And what are the learning moments here? And how do you plan to expand the product features to see further traction there?
David Ossip: That's a great question. So let me benchmark it to last quarter. Last quarter, we were seeing registration rates of about 16% to 18% across customers that were using the Wallet. We have now seen the registration rates go above 20%. And in customers that have been using the product the longest, we are seeing it almost at 30%, if not higher in some cases. In terms of the usage pattern, the typical active user uses a product about half a dozen times per month, typically loading on about $120 per time. So we're seeing quite high usage of it. In terms of the features that we are adding to the product, there will be 2 additional feature rollouts this year, one in June and one in the second half. In June, we're adding features for a virtual card. So you don't need to have the plastic present to do a transaction. We're adding direct deposit capability, which means I, as an employee, will be able to just with a single click say I'd like to stream my payroll to my Wallet at the end of every day. Currently, the user has to go to the Wallet app, say, hey, I'd like to add $100 to my Wallet. This will be completely fluid without the user having to do that. Obviously, with guardrails for the user, how much they would like to add or what they're going to be balances and such. We're adding additional pay card capability, which, as you know, makes it viable for minors to use the product as well. And then we're adding some notification capabilities to the actual product as well, so nudges and such. In the second half of the year, we expect to launch savings for the Wallet balance. We'll have various types of referral programs. We'll be launching our reward programs, more in-app self-service, change of PIN, things like that, enhanced notifications, and will we start to move into areas of financial wellness. So we have quite a robust road map for the actual Wallet. And as we mentioned, all of these features, we believe, will add to more adoption of the Wallet, higher usage, but also will help us in the Dayforce sales side as well.
Noemie Heuland: The other thing I would add, David, is we've recently launched the Wallet in Canada as well. We already have over 40 customers signed up for it.
David Ossip: Well, that's a great point, Noemie. I believe we must be one of the only, if not the only, wallet that you can use in both the U.S. and Canada. And we expect to launch in the U.K. and Ireland next year as well.
Sitikantha Panigrahi: Just one quick clarification on my first question. So M&A contribution, Noemie, what have you baked into your guidance?
Noemie Heuland: You're talking wallet contribution, Siti?
Sitikantha Panigrahi: No, no, M&A, acquisitions. Acquisition revenue.
Noemie Heuland: So if you're talking about Ascender specifically, I think we have disclosed the numbers in the stockholder letter, and we can go into detail. It's going to be pretty much the same run rate as you've seen in Q1 in the month of March. And so that's what's reflected in our guidance today.
Jeremy Johnson: The next question comes from Dan Jester of Citi.
Daniel Jester: David, maybe just at a high level, can you just give us an update now that Ascender just closed, kind of how do you see the strategy in Asia Pac evolving? And if I look at Ascender, I think that they sell payroll modules to customers who have other HCM software. And so as you think about, over time, converting those customers to Dayforce, how does the push and pull between sort of HCM and payroll evolve in Asia Pac? And is that going to be any different than you saw the experience in the U.S.?
David Ossip: Dan, let me answer the last part of your question first. We do sell in North America and EMEA, payroll, payroll and workforce management, without the HCM components. We've done that at many of the very large customers. And in that case, often, the ERP is a system of record, and they're bringing best of breeds for some of the talent components. So I believe the same pattern will be in APJ as well. Now there is an upsell for customers that I'll say are in the major market segment to the small enterprise segment. And in those cases, we do believe there is a strong upsell possibility for workforce management, core HR and all the talent modules we have as well.  In terms of the strategy, we spoke a bit about it in the shareholder letter. Over a 4- to 5-year period, we expect to migrate the accounts over to Dayforce. The Ascender acquisition brings with it several different products. There are 2 products in Australia. One is a major market product, one is more for government, education and larger enterprises. On the major market product, we are already beginning our migrations. In the enterprise, education and government sector, we have to add some capabilities to the Dayforce application. Now in the rest of Asia, with the exception of Japan, we have been building, alongside the R&D team of Excelity, a Dayforce payroll factory for most of the countries across Asia. And we believe to have that online relatively soon, which will give us native capability for Dayforce across all of those geographies, and we'll be able to start the migration. And then in Japan, there is a separate product that Ascender has in Japan. We intend to keep that product given the uniqueness of that particular market.
Daniel Jester: Great. And then just a follow-up on sort of building out the partner network, maybe an update as to how that's going -- how is building that out? And any impact on how you're seeing that in 2021? Or is that going to be something that maybe has an impact on the business more next year?
David Ossip: Great. Thanks, Dan. We're very, very pleased with how it's going with the build-out of the system integrators. First, from a sales execution, our sales team has now begun to work very well with the SIs. And we have examples now, successful examples of where we have signed new contracts with SIs priming the Dayforce implementation. You'll see that reflected in some of the professional services numbers. So you'll see less professional services growth year-over-year as some of the SIs are now doing the implementations. And you'll see that in the way that we reflect some of the numbers. For example, the Dayforce incremental revenue and such, we'll now start to focus on recurring revenue because we expect the SIs to begin priming on that particular side. But in terms of number, in terms of depth of relationship, in terms of success in having the SIs prime and also success in the SIs bringing us some very, very nice deals. In fact, we recently closed a large deal in the EMEA region in, I believe, under an 8-week period that was primed by an SI and brought to us by an SI. So really great examples of the SI strategy, bringing a lot of benefits.
Jeremy Johnson: Next question comes from Mark Marcon of Baird.
Mark Marcon: David, you -- in the shareholder letter, you mentioned a number of really impressive wins, including Fortune 100 companies in the health care space, global players. Wondering if you can just give a little bit more color with regards to the wins that you were most proud of and who you ended up winning from and why they ended up really choosing you in terms of the decisive elements. And then there's also commentary with regards to the sales pipeline being very strong and that there's pent-up demand. And so I'm wondering, how would you characterize the sales pipeline today relative to pre-pandemic levels and what your expectations are as we go through the year? And then I have a question for Noemie.
David Ossip: Sure. So on the pipeline side, as we've mentioned, the pipeline is very strong. It's definitely higher than we had pre, let's say, Q2 of 2020. I also think when I look at the quality of the pipeline, it's a better quality of pipeline as well. We spoke about some of the examples around the marketing success, particularly around the virtual event. But we're now seeing effectively a close rate of about 15% of those people who attend the actual summits. And just given the breadth of how large these summits are, the large summit had, I believe, 700 attendees, and we have another summit coming up relatively quickly. In terms of the actual wins, it's hard to say a favorite. I don't think you're allowed to say that. All of our customers are our favorites. But there are some that I really do think that are great. If you look at the size of some of them, we called out one in particular in the shareholder letter, where we talked about a large kind of health care organization. I was quite involved with them as well. It is quite a competitive deal against the regular competitors and some of the ERPs that you'll suspect to be playing. And I believe the way that we explain the value proposition as to where we could really create quantifiable value to the customer worked very nice. And again, it was a deal where we were supported by a large SI.
Mark Marcon: Great. And then can you talk a little bit about -- on the Wallet, has there been any pushback from any client, any one that's installed it and said, you know what, this has become too hard or too difficult? And if so, what percentage of the time are you seeing that?
David Ossip: So Mark, this has got to be one of the easiest things to implement at a client. You literally check a few check boxes. And the employees download the app off the Google Play or the iOS store. It does the [indiscernible] customer piece by pulling the information directly from the Dayforce application. So there's a fewer case that you have to do. And then you get your plastic in the mail just a few days later. In fact, when we launched in Canada, I was one of the first users to use the app, and it is really easy to use. So we don't get any pushback from the customers in that this is too difficult to do. From a payroll administration piece as well, it doesn't complicate the process. There's no reconciliation that the payroll team has to do. They don't have to change the way that they do the funding. It's not a bolt-on system. It's just embedded with inside the application. We've had tremendous feedback from the customers that are using the Wallet in terms of ease-of-use benefit to their employees. And we've got a whole bunch of case studies where employees have written to us talking about the benefit from a financial well-being perspective. So we remain very, very confident. I believe the direct deposit and the streaming of pay feature that will launch in the June release is going to be very, very well accepted.
Mark Marcon: Excellent. And then, Noemie, can you just talk a little bit about the EBITDA guidance for the second quarter? Just what are some of the puts and takes? And what are -- what's kind of temporary and transitionary?
Noemie Heuland: Yes. I think -- so on the margin, as we've mentioned before, we are clearly in an investment year. As you know, we're making significant investments in our product and technology group, especially around the Wallet, around the build of global capabilities in Germany and in other places. So that's why you're going to see translating into higher product and technology spend as a percentage of revenue as well as a higher cash spent on R&D, which is something we're doing consciously in order to gain some market share. And we're seeing also some increased spend in sales and marketing as we are expanding our capabilities with large enterprise customer sellers, we're building the SI partnerships and so on. So that translates into a higher sales and marketing that we are also -- you're going to see also throughout the year. So that's why we provided guidance for the full year adjusted EBITDA margin around 15% to 16% of revenue.
Jeremy Johnson: Next question comes from Matt Coss, who's in from Mark Murphy at JPMorgan.
Matthew Coss: Congrats on the strong quarter, guys. Can you just help me understand the net dollar retention you're seeing now versus a year ago? I know you usually just report gross retention once a year, but is the net dollar retention something you've seen improve since last year?
David Ossip: It remains very strong. It's above 105%, maybe 106%, which hasn't really changed, I would say, over the years. What's remarkable is that it remained at that level even with lower employment numbers at our customers.
Matthew Coss: Got it. Okay. And then has the pandemic changed the priority of HCM relative to other IT purchasing? In other words, is modern HCM viewed as more critical now than it was a year ago relative to other software applications? And have you seen that sort of come through in pipeline and sales forecasts?
David Ossip: Yes. So Matt, look, I think there's been a benefit to demand across the pandemic. And it's gone in phases. In the first phase, I think a lot of the companies who are still relying on paper forms, paper manual processes or had on-prem systems were in a mad rush to get into the cloud and to digitize all of the interactions with their employees. And that has continued to drive demand. What we're finding now is that when I call out -- and I speak to customers, and I speak to probably about 20 customers per week. What I'm finding across the C-level is that there is a real concern that with people having been working at home for over a year, that is becoming more difficult to maintain the culture and the bonding at an organization. And so a lot of organizations are looking for products like us that can really help communicate and bring employees together so that you can maintain and strengthen culture and obviously keep engagement levels very high. In the shareholder letter, I spoke about how we -- or how I've been describing how we've used the application. Firstly, we used the hub that we recently launched. And we did that because we revised our values. We removed 1, added 2, and so we used that as a way of communicating the new values to our employee group with embedded training on all the different values, embedded videos and such. Second, we've been using the DEI dashboard from an ESG perspective, and that's been very, very helpful for me to actually see trends and to make sure we're moving in the right direction to make sure that we have proper diversity and balance inside our executive team, and it's gone very, very nicely. We've been using the engagement features to keep a score on track on what our E&PS levels have been, making sure that we're addressing important items for the employees. And lastly, the Dayforce Wallet really has given our employees much better financial flexibility and wellness. And those are the things that people are looking for because when you bring it together, that keeps the company together and in times like this is very important. And I believe those are the reasons that we've seen such a strong demand for our product.
Jeremy Johnson: Next question comes from Samad Samana of Jefferies.
Samad Samana: So maybe first one, David, the pace of M&A seems to be picking up for the company. It seems to be more concentrated in the APAC region. Just maybe how should we think about -- is there a structural change in maybe how M&A is thought of as a lever for growth? And then, again, on a regional level, should we think about it just happens to be in APAC right now? Or should we see it be more balanced maybe going forward? And then I have a couple of follow-ups.
David Ossip: Sure. So first of all, I can say I'm very proud of our M&A capability. I think we've built it, strengthened, and we've been able to execute on a number of transactions. And I already gave kudos to our M&A team headed up by, as you know, Erik Zimmer. He's done a really, really great job. When it comes to M&A strategy, as you know, we are focused on the regional consolidation play. And I've spoken about that before. There are many companies out there that are in particular jurisdictions that have legacy technology, typically focused only on the payroll side, great opportunity for us to acquire a nice multiple, use the knowledge, their people, their operations to really build out that capability quickly inside Dayforce and then, over time, look at migrating their customers onto the Dayforce platform, and we get tremendous benefit elsewhere in the world by having that capability in that particular region. We spoke about that on the last shareholder letter, how we were seeing pickup in global sales because of our APJ capability, and that's continued. We are looking at other regions around the world now. And I would expect that we'll do some transactions like that over the next couple of years. The other area of M&A where we've been quite active, and you see this with the Ideal acquisition, which I've got to say is really a great piece of software. The team is exceptionally strong. We're talking about a big group of data scientists with very deep knowledge in terms of talent and talent acquisition. We had been partnering with them on the Dayforce side for over a 2-year period, already had embedded inside the product. So we knew what the product could actually do. But we are looking for acquisitions like that as well, where you acquire a specific type of capability that allows us to leverage that capability inside the Dayforce product to get more of an advantage relative to our competitors. Another example where you saw that was on the benefits side, Clearview Logix. We acquired them several years ago. That gave us a benefit decision support, the benefit intelligence piece, also which has gone really, really nicely in market. So yes, I do think M&A of those two different flavors will be a part of our future.
Samad Samana: Great. And then maybe, Noemie, a follow-up for you on just the revenue categorization. You saw where the dollar buckets are put in, in the shareholder letter. But just maybe most of the acquisitions in the past have been fully allocated to Bureau. Just trying to understand maybe why some of the sender went into the Dayforce bucket at the outset since, usually, it's the acquire and convert mechanism. So maybe just -- I think it would be helpful to understand that.
Noemie Heuland: Yes. You're right. The majority of it went to Bureau, but there's a portion of the Ascender solutions that is a pure cloud solution. David referred to the Japanese cloud platform. There's also a part of the Asia Pacific solutions that is under cloud that we're going to continue to support and then build upon -- build the Dayforce user interface on top of it and continue to sell as well as upsell some of the HCM modules to that population. So that's the PCC in cloud revenue, which is about $1.5 million to $2 million, including services per month.
Samad Samana: Great. And just one last one for you, David. With the new hiring -- with the hire of the new Chief Revenue Officer, bringing Rocky on, should we expect any changes to the sales organization or go-to-market model underneath that, that -- any major changes that we should anticipate with the change in leadership there?
David Ossip: Look, Samad, as you know, over the last -- for 3 years now, we've been investing heavily in really superstars from a talent perspective. Rocky falls into that, really a tremendous background. As you know, most recently, he ran one of the ERP's largest regions. He had complete P&L responsibility. So he's really a true powerhouse that we bring into the actual organization. I think we've already had a lot of change with inside the sales organization in terms of segments, in terms of moving to enterprise, in terms of kind of really empowering SI relationships and such. And now I think Rocky's real goal is to maintain that focus with inside the organization and make sure that we execute even better and really to focus on making sure that we have a great culture inside the sales organization as well. So I don't expect to see massive changes inside to go to a market. What I'm expecting to see is continued great execution in our go to market.
Jeremy Johnson: Next question comes from Chris Merwin at Goldman Sachs.
Christopher Merwin: Great. I wanted to ask one about the Wallet. I was just curious if there's any other features you're thinking about adding to that core product where you could further monetize the funds running through the Wallet. Or alternatively, are there other partners you could add, cash [indiscernible] to give users more flexibility about where those funds may ultimately sit? Just curious, anything you can share about the product road map or thoughts about where that product could evolve to in time.
David Ossip: Yes, Chris, you'll see some of that already happening in the second half release of the actual product. So when we talk about rewards, so we'll do the rewards through one of the -- obviously, the programs out there. There are probably 2 big players in the U.S. With that, there is a revenue share. It's the way that the model works, is that the cardholder based on BIN number does get a cash back. And as well, the merchant pays the network a fee for the actual purchase, and we will probably get -- well, we do, we get a split of that with the actual partner. We'll probably also have partnerships for bill pay and as well for kind of click switch that you go to Amazon or Netflix making it very, very easy with a simple click to use the -- in the interim, your Dayforce card as a source of payment. So I would expect to get that. In terms of where the people can keep their money is, we'll start off with savings, the interest-based savings accounts where the cardholder can select which bank they would like the money to be held at and the interest that they'd like to get on that. And then over time, we'll get into more financial wellness types of products as well.
Jeremy Johnson: Next question comes from Scott Berg at Needham.
Scott Berg: David, I just wanted to kind of follow up on the Ascender questions a little bit. As you've had the acquisition for whopping a couple of months now so far, how do you think about the growth rate opportunity, and whether it's Australia or Asia Pac, relative to Ceridian as a whole?
David Ossip: So Scott, it will take us a bit of time to get going. So we're in the early days of the integration. But in terms of opportunity, we know that the APJ market is growing quicker than the rest of the world. So I would expect a growth opportunity over there to be at least equal to the rest of Ceridian on a go-forward basis.
Scott Berg: Got it. And I know you mentioned the new staff, 80% attach rates or wallet to your new customers, which is obviously a fantastic attach rate. But as you look at the rest of the portfolio of solutions, how would you compare attach rates for the other talent management modules today versus maybe the pre-pandemic levels in the fourth quarter of '19?
David Ossip: We've seen the attach rate go up. If I look at the add-on in Q1, I believe we're at -- Jeremy, Noemie, I think it's 28% number that it came in at, and pre-pandemic, we probably were at the 20% level.
Scott Berg: Excellent. And last quick one for me is I know you talked about 20% of registrations on Wallet as customers ramp up and you've seen one or handful at 30%. What does that number look like do you think at kind of peak levels? Is it 40% to 50% of the employee base? Or do you think it can maybe be higher than that number?
David Ossip: So look, we talk about the future. What I can say is we've seen it go up quarter-over-quarter, and we are seeing customers above that 30%. If -- the only real market study out there would be the one at Walmart where I believe their registration rate has doubled year-over-year, and I believe they are close to the 50% range. So I would think that would be a reasonable range once we get the -- kind of all the wallet features put into the actual system. And now with us, it might be higher because we don't have a charge. We don't charge the Wallet piece a fee for usage, whereas, I believe, in the case of Walmart, they might.
Jeremy Johnson: Next question comes from Alex Zukin at Wolfe.
Alex Zukin: Congratulations on the quarter. So if we zoom out, David, and we look at this year, kind of ex COVID, you're going in with a great pipeline. You're kind of -- you've successfully switched for new customers to [indiscernible] provisioning. You've got really exciting partners that are signed up. And you have differentiated technology on a global payroll perspective, where at least our checks indicate you're winning deals against other HCM vendors as a result of that functionality. So stepping back, if I think about the kind of growth execution that you're looking to put up, you've given guidance, is there -- a lot of things have kind of fallen into place, not to mention you've also hired another rock star Head of Sales. How should we think about the durability of growth exiting COVID? You guided, I know, this year, but longer term, bigger picture, what's the right way to level set kind of the opportunity set that you've kind of put in front of you here?
David Ossip: Alex, as you know, we've been quite consistent with our growth levers since we IPOed. One, we acquired new customers, around 500 to 600 per year. Two, we build out additional capability. We go back to the base. We sell them additional modules. I spoke about the 28% add-ons that we're now seeing. Third, we move up into the enterprise space. And you've seen that. If you read through the shareholder letter, you'll see some great examples of some very large organizations. Four, we move on a global basis. And I think our execution in UKI has been wonderful. If I look at the deals that we're signing in the EMEA region, they already are tremendous, and we're only 2 years out of the gate there. The moves that we're making now in APJ obviously support that as well. And I expect we'll make similar types of moves elsewhere in the world. And so that's going very, very nicely. And then we've always spoken about adjacent products like the Wallet, which allows us to drive more recurring revenue from the people who use our systems. Now in order to do that, we have to obviously invest quite heavily in talent. If you look at the people that we brought on, people like Noemie, people like Rocky, people like Leagh, people like Joe, all of the individuals that we brought in have experience at scale and they have experience on a global basis. And that gives us the confidence that we can execute against those 5 different growth levers, and I think we have. I'm also very proud of how resilient Ceridian was over the time of the pandemic. We spoke about leaning into the pandemic and coming out even stronger, and I think that is the case.
Alex Zukin: Perfect. And then if I think about kind of hiring trends and hiring trajectory, not so much employment levels but your own direct sales organization, I don't know -- apologies if you've commented on this or this has been asked, but what should we be thinking about in terms of just go-to-market team hiring for this year and getting ready for next year as it compares to either -- pre-pandemic levels?
David Ossip: I think in our guidance numbers, I mean, which you will find embedded in the EBITDA number as well are the investments that we're making in sales and marketing. I don't think you're going to see massive hiring. We'll continue at the hiring levels that we've made over the last year. We never really slowed down on the hiring side on sales and marketing. And so we'll continue to make those investments. Jeremy or Noemie, anything you want to add specifically around sales and marketing investments?
Noemie Heuland: No, I think that's right. We're continuing to invest, and we're upskilling certain departments to be able to tackle the large enterprise segments. Historically, we've been more focused on majors, and we're actually building capabilities to go after the larger enterprise segment, and we're also building capabilities to work with SIs. And so those are the other areas where we're investing as well in sales and marketing.
Jeremy Johnson: Next question comes from Arvind Ramnani from Piper Sandler.
Arvind Ramnani: I just wanted to circle back on digital wallet. You have indicated that it has an impact on employee retention rates for some of your clients. And with that, has that improved your win rates just given that you're able to kind of prove that if you use Ceridian and digital wallet, retention rates can go up? And also just as a follow-up to that, are there any specific industries where you're seeing elevated traction for digital wallet?
David Ossip: Great. So they're two great questions over there. Without a doubt, having the wallet has helped our win rate, and there probably are two reasons for that. The first is we always speak about that we're differentiated in market in that we have a continuous calc engine, which means that when you change a timesheet, an HR record, a benefit record, we immediately calculate the net earnings. The Wallet leverages that capability. And so when we talk about being able to offer the Wallet, it also clearly explains to the customer the advantage of having a continuous calc engine, which the others don't have. And so I do think it has helped us tremendously. Second, when we speak to the HR team and we speak about talent and about how we can improve the engagement, deliver benefit and also improve their ability to attract new people into the organization, we have some tremendous stats coming from the Wallet. And we spoke about them last time, that we found that when we look at active cardholders versus nonactive cardholders in the same companies, the voluntary attrition rate goes down by 42%. And when we talk about the speed of fill in an open job vacancy, we see that improving by about 10%. And those are really, really great numbers. In terms of industries, I can actually just look at it right here, look at it kind of live for you. And so if I look at my kind of industry dashboard they have, we're seeing kind of success right across industries, with peak at the moment in retail, professional services, manufacturing, financial services and construction.
Arvind Ramnani: Great. That's so much helpful. And just kind of a separate question for me on the competitive environment. Some of the legacy players have continued to innovate. And with that, I mean, Ceridian also has continued to innovate. And also from a -- I guess from a demand environment, 2020 certainly has accelerated demand for kind of cloud-based solutions. So just with the backdrop of like demand environment, which is probably looking for more cloud solutions and some of the legacy players continue to innovate, are you kind of satisfied with kind of the distance you have from an offering perspective relative to the competition? Or you feel like some of the legacy players are sort of starting to catch up?
David Ossip: In terms of the legacy players, I don't know if there is much catch-up happening, would be the way that I probably would describe it. Here are a number of aspects that I do think we're differentiated. As you know, from a product side, we have the features like the continuous calc engine. We have the single database, the single-rule engine, we have the Dayforce Wallet. We make very effective use of AI and ML. We have the global capabilities. We're strongest, I believe, in compliance, and kind of noted by Gartner and others. The second area where I do think we're differentiated are in our service levels. And if I look at the client satisfaction scores as measured by NPS in implementation, or if I look at when they go live, I do believe our NPS scores are probably best inside market. And those 2 things combined, really a great client experience with leading technology. We're also not stagnant on the technology. If you look at the work that Joe is doing, remember Joe is our Chief Product and Technology Officer, the work that he's doing over there in terms of user experience, really, a focus on data and the intelligence, so the use of AI and ML, some of the lift that we're doing to the various talent modules at the moment and also the work that we're doing in terms of inoperability, really have -- I think are best-in-class.
Jeremy Johnson: Next question comes from Brad Clark with BMO.
Bradley Clark: I just want to ask about the international strategy in EMEA. And specifically, with Germany payroll rolling out this year, how do you think about the strategy over the next year taking advantage of that payroll launch around Germany and building out the EMEA customer base? And additionally, how should we think about how that translates into what you guys refer to as those global deals and global customer wins?
David Ossip: So Brad, we're already very happy with the traction that we're having in EMEA. We launched in UKI several years ago, and we're seeing great wins inside the market, and not only wins in terms of sales but in go-lives and referenceability. We've also had tremendous success inside Germany with our workforce management product. Great customers like Siemens globally, Henkel, Kessler, Lidl, Coghlan, all of them are leading organizations in Germany and across EMEA as well. In terms of the build-out of Germany, that will be ready in 2022. We already have developers and operational people and salespeople on the ground in Germany. Once we have Germany up and running, obviously, we're going to expand very quickly to the jurisdictions that are surrounding Germany or do a lot of work with kind of Germany. And so we believe that we will be a leader in that region as well.
Jeremy Johnson: Our next question comes from David Robinson at William Blair.
David Robinson: So you kind of touched on this previously with regards to the kind of increasing attach rates of certain modules this quarter compared to the past. I was wondering, have you seen any increase in kind of certain areas as companies are anticipating reopening both in the North America and kind of in the other different regions around the world? Just trying to see if there's any interest around maybe the recruiting or onboarding modules or how that's been trending.
David Ossip: So David, I think you're right. So there are a few things with us. There's a lot of focus now on employee communications. We launched the Dayforce Hub recently, and what that is, it's effectively a homepage that a customer can tailor based on jurisdiction, type of employee, I think put their branding on it, they can make a look until really meet their own personality. You can have deep linking inside our application or deep linking to external applications as well. You can have time-sensitive content and action items for the people. And that's obviously to be a central communication hub, which is very powerful. As I mentioned, we used them internally to relaunch our values and very successfully. Second, on the recruiting side, we're obviously seeing a lot on talent acquisition. Now on the talent acquisition, we just acquired Ideal. And what Ideal really has is that they have AI that is used for grading of the candidates who apply. And it's a true machine learning algorithm, which means that if the hiring manager or a recruiter doesn't agree with the grade, they can correct and the system learns based on behavior. They also have great capability from a DEI perspective. So when you're actually going through the candidates, you're making sure that you don't have any type of bias across the hiring managers, and we believe we can use that capability as well in areas like performance management and the like. We're very, very strong on employee onboarding. And when I talk about employee onboarding, the single application becomes very powerful because you normally start off with a landing page. We have a message from the CEO, it's a multimedia. You then go into the sign-offs and instead of just saying, hey, have you read the code, the company ethics or behavior or privacy, you now embed learning directly into that experience. You take the course and then it signs you off. You have the various checklists, the various forms that can now be completed digitally, which obviously help tremendously. We then typically bring in benefit enrollment. So we go through the benefit decision support to make it already pleasing experience. You typically bring in a bit more learning management. So you have on-the-job training, set up the person's 30-day, 60-day, 90-day development plans and the like. And so it's very -- it works very, very nicely. Now the same onboarding modules use what we call transporting. So you can think about people returning to work and putting together a proper experience when people will be coming back to offices that don't look the same that they were before the COVID pandemic. So obviously, a big uptick in that as well. We also are doing quite nicely on areas like engagement. As I mentioned before, it's a top concern for any CEO, making sure that engagement levels are holding while people are at home, ability to do poll surveys for engagement surveys, leveraging again a lot of intelligence features like sentiment analysis to read through the comments so that you can make sure that any comments that aren't positive are dealt with correctly. So obviously, quite a lot. Also what is another area is on the global side. In today's work-from-home using tools like Zoom and such, where someone sits is no longer as important as it was prior to the pandemic. And so the ability to have global payroll capability, being able to do things like compensation management, either in a constant currency or in a local currency, from a budgeting perspective, it becomes very, very important, but also to handle how do you pay people, they're in Brazil or they're in Portugal or if they're in the U.S., Canada, in a single system. All of those seem to be driving the add-ons.
Jeremy Johnson: Great. Well, we actually have no more questions in the queue. And such, that concludes the call today. I would like to thank everyone for joining us this evening, and we look forward to touching base with you in the future.
David Ossip: Great. Thank you, everyone. See you guys later this evening. Bye, bye.